Operator: Good afternoon, everyone, and welcome to the Lionsgate Third Quarter 2024 Earnings Conference Call. [Operator Instructions] Please also note that today's event is being recorded. At this time, I'd like to turn the floor over to Nilay Shah, Investor Relations. Please go ahead.
Nilay Shah: Good afternoon. Thank you for joining us for the Lionsgate Fiscal 2024 Third Quarter Conference Call. We'll begin with opening remarks from our CEO, Jon Feltheimer; followed by remarks from our CFO, Jimmy Barge. After their remarks, we'll open the call up for questions. Also joining us on the call today are Vice Chairman, Michael Burns; COO, Brian Goldsmith; Chairman of the TV Group, Kevin Beggs; Chairman of the Motion Picture Group, Joe Drake; as well as incoming Motion Picture Group Chairman, Adam Fogelson; and President of Worldwide TV and Digital Distribution, Jim Packer. And from STARZ, we have President and CEO, Jeffrey Hirsch; CFO, Scott Macdonald; and President of Domestic Networks, Alison Hoffman. The matters discussed on this call include the proposed business combination of our Motion Picture Group and Television Studio segments and our film and television library with Screaming Eagle Acquisition Corp. to launch Lionsgate Studios. We urge you to read the relevant materials that we and Screaming Eagle have filed with the SEC, including in our Form 8-K filed on December 22, 2023, and a registration statement on Form S-4 filed with the SEC on January 5, 2024. The information and the prospectus or proxy statement is not complete and may be changed. You can find these materials and other documents filed with the SEC free of charge at the SEC's website, www.sec.gov, or on our Investor Relations website. The matters discussed on this call also include forward-looking statements, including those regarding the performance of future fiscal years. Such statements are subject to a number of risks and uncertainties. Actual results could differ materially and adversely from those described in the forward-looking statements as a result of various factors. This includes the risk factors set forth to Lionsgate's most recent annual report on Form 10-K, as amended, in our most recent quarterly report on Form 10-Q filed and in the S-4 filed with the SEC. The company undertakes no obligation to publicly release the result of any revisions to these forward-looking statements that may be made to reflect any future events or circumstances. Moreover, Lionsgate, its subsidiary LG Orion Holdings, our directors, executive officers and certain other employees and other persons may be deemed to be participants in the solicitation of proxies from shareholders of Screaming Eagle in favor of the proposed business combination under SEC rules. Information about participants and their direct and indirect interest are included in the prospectus or proxy statement and the other relevant documents filed with the SEC, as available. no offer to sale or solicitation of an offer to buy securities will be made except pursuant to an effective Form S-4 or an exemption. I'll now turn the call over to Jon.
Jon Feltheimer: Thank you, Nilay, and good afternoon, everyone. Thanks for joining us. We just reported another strong quarter, and the performance of our businesses in the quarter gives us confidence that we can continue to deliver the growth our investors expect while keeping our balance sheet strong. Turning to the quarter's highlights. We celebrated the holidays the Lionsgate way, working through the end of the year to close two transactions and launch a third. We closed the acquisition of E1 from Hasbro, increased our equity investment in 3 Arts and took a significant step towards the separation of Lionsgate and STARZ by announcing Lionsgate Studios as an independent, publicly traded pure-play content company. Our Motion Picture Group finished the year strong with over $1 billion at the worldwide box office for the first time since 2019 led by the reinvigoration of our Hunger Games franchise. We continue to develop and produce great and television properties with the 0.5-hour comedy, Extended Family, off to a good start on NBC; production beginning on a Seth Rogen comedy for Apple TV Plus in March; and Spartacus preparing to start shooting in New Zealand for STARZ. This makes 10 films and television series entering or resuming production in the quarter. STARZ had another strong quarter, gaining 700,000 North American OTT subscribers and more than 340,000 overall net North American subscribers. This subscriber growth, coupled with STARZ' recent rate increase drove revenue and ARPU growth as well. All of these gains rolled up into a strong financial quarter, with our key financial metrics exceeding estimates. With the fiscal year tracking in line with our guidance, we're looking at consolidated adjusted OIBDA growth of 20% year-over-year with our operations fully funded from our own balance sheet as we continue to throw off positive free cash flow and reduce our year-over-year leverage by nearly 3/4 of a turn. Against the backdrop of an uncertain economy, geopolitical turmoil, the aftermath of two strikes and continued industry disruption, we continue to navigate the headwinds in our environment by leaning into the diversification of our businesses and the resilience of our culture to move the company forward. Now let's recap each of our three business segments in the quarter. Our Motion Picture Group had a great quarter on the strength of the Hunger Games: The Ballad of Songbird and Snakes, which grows nearly $350 million worldwide. The lift it gave to the library performance of previous Hunger Games titles, strong ancillary market performances from John Wick Chapter 4 and Saw X, and a robust contribution from multi-platform titles. Our Motion Picture business is tracking towards its best fiscal year segment profit performance in 8 years. Looking ahead, with fewer wide theatrical releases industry-wide due to the strike, we see an opportunity to grow our share of the market with a slate of 12 wide theatrical releases and approximately 40 multi-platform and direct-to-streaming titles in fiscal '25. It's a diversified slate with strength across a broad spectrum of films built on efficient production, strong international licensing presales and cost-effective marketing. It demonstrates our confidence that moviegoers will continue to return to theaters for quality, commercial films while also showing the continued growth of the day and date early PVOD hybrid and other multi-platform spaces that have become an important part of our business. We were also busy in the quarter deepening our portfolio of franchises, with the signing of John Wick filmmaker, Chad Stahelski, to direct and create a Highlander franchise; wrapping principal photography on the John Wick action spin-off, Ballerina; and starting production on Michael: The Definitive Story of Michael Jackson produced by Oscar-winning producer Graham King and directed by Antoine Fuqua, the Training Day and Equalizer filmmaker. I visited the set of Michael here in Los Angeles last week and came away more convinced than ever that it will be an exciting and important tent pole on our fiscal '26 slate and a very special property. Turning to Television. The acquisition of E1 continued to diversify our business. We integrated more than 6,000 new titles into our library and added series like the evergreen franchise, The Rookie, Yellowjackets, The Recruit and A Gentleman in Moscow to our slate. The acquisition of E1 has also allowed us to restructure our unscripted business into Lionsgate alternative television, combining 5 Lionsgate and E1 labels to increase our scale, enhance our efficiency and lower our costs. Our increased equity investment in 3 Arts expands a partnership that has become a pillar of our talent strategy and an important source of series like Mythic Quest; The Serpent Queen; and the sexy new thriller, The Hunting Wives, starring Billions' Malin Ãkerman, which will soon enter production for STARZ. With the strikes over, we expect a strong growth year from 3 Arts. I want to reflect for a moment on the growth and diversification of the Television business we've built. 10 years ago, nearly all of our Television profits came from our core premium scripted business. Today, our contributions are spread across scripted, unscripted, talent management, syndication and international productions, enabling us to navigate downturns in any one part of the business, and one of the reasons we're continuing to track towards record Television Group segment profit this year despite the strike and several series cancellations. Looking at STARZ. Its transition to streaming continues with 70% of its revenue expected to be digital by the end of fiscal '25, its domestic OTT subscriber growth accelerating with a corresponding increase in revenue, its core series performing strongly as part of a content offering supercharged by the addition of Pay 1 and Pay 2 movies, and its resources concentrated exclusively on domestic growth as it continues to operate as a valuable and consistently profitable premium service in a highly disrupted world. To drill down on the quarter. The balanced slate of originals and movies from STARZ Pay 1 and Pay 2 deals combined to drive its best domestic OTT subscriber growth in 3 quarters. As demand for movies on SVOD services continues to grow, with a recent consumer survey citing movies as the most valuable part of the streaming experience by a wide margin, STARZ has capitalized on the opportunity to return to its roots by ramping up its slate of quality, world-class features from 13 in fiscal '23 to more than 35 in fiscal '25. In the coming months, STARZ will offer a compelling mix of tent-pole originals like BMF, Ghost and Raising Kanan; newly acquired series like the psycho-drama, Mary & George, starring Julianne Moore; and Three Women, starring Shailene Woodley; along with movies like Lionsgate Saw X and Hunger Games: The Ballad of Songbird and Snakes; as well as Universal's Oppenheimer, Fast X and M3GAN. Even as STARZ core series continue to excel, it is readying great, new properties with the reimagining of one of its biggest original hits, Spartacus: The House of Ashur and The Hunting Wives, while continuing to expand the worlds of Power and Outlander. The Outlander prequel, Blood of my Blood, is currently in production. On the distribution front, with a distinctively premium intent offering focused on two valuable core demos, STARZ continues to become a distribution partner of choice, leaning into its partnerships with digital wholesalers, Amazon, Verizon, Hulu and many others. Its ability to be part of every package and sit on top of any platform positions STARZ to bundle with more aggregators and stand up new partnerships with broad-based streamers in the future. One of the hallmarks of Lionsgate's growth over the past 25 years has been our ability to acquire and integrate companies with great libraries and other complementary assets. As we continue to integrate E1, we really like what we see: significant incremental value for our library, an opportunity to grow and diversify our scripted and unscripted television businesses, significant G&A and revenue synergies, and ongoing best of the best integration of our respective workforces. In closing, we're continuing to execute our plan to launch Lionsgate Studios as one of the world's largest, independent, publicly traded pure-play content companies. I'm pleased to report that we expect to be launching on NASDAQ under the ticker symbol LION in the spring. Our investor roadshow is giving us the opportunity to tell our story to a broader audience, and we believe that investors are gaining a better understanding of the breadth and the depth of the portfolio of assets that we've assembled, the strategy driving its growth, and our commitment to a full separation of Lionsgate and STARZ that will help unlock the value that we've created. Now I'll turn things over to Jimmy.
James Barge: Thanks, Jon, and good afternoon, everyone. I'll briefly discuss our third quarter financial results and provide an update on the balance sheet. Q3 adjusted OIBDA was $151 million, and total revenue was $975 million. Consolidated revenue and adjusted OIBDA were down year-over-year due primarily to difficult comparisons at Television, while both Motion Picture and Media Networks showed year-over-year revenue and segment profit growth. Reported fully diluted earnings per share was a loss of $0.45 per share, and fully diluted adjusted earnings per share was a positive $0.27 per share. Adjusted free cash flow for the quarter was $64 million. We are reiterating our fiscal 2024 outlook for each of our business segments as well as our consolidated adjusted OIBDA target of $400 million to $450 million which, at the midpoint, reflects nearly 19% year-over-year growth. As noted before, our adjusted OIBDA target for fiscal year '24 excludes the net benefit from exited or exiting STARZ international territories and also excludes the benefit from E1, which was acquired at the end of December. We are also reiterating the fiscal year '25 adjusted OIBDA outlook for the Studio business that we announced as part of the Lionsgate Studios transaction. Specifically, we continue to forecast fiscal year '25 adjusted OIBDA for Lionsgate Studios, which we define as the Studio segment profit less all corporate G&A, to be $370 million. This moves up to $430 million of pro forma adjusted OIBDA, inclusive of the projected $60 million of post-synergies run rate adjusted OIBDA from E1. Now let me briefly discuss the fiscal third quarter performances of our Studio and Media Networks businesses as well as the underlying segments compared to the previous year quarter. Media Networks quarterly revenue was $417 million, and segment profit was $86 million. Total revenue was up 10% as continued growth of domestic OTT and international OTT revenue more than offset domestic linear revenue pressure. Given the exit of nearly all of STARZ international markets, I want to focus primarily on domestic annual performance. Total domestic revenue grew modestly both year-over-year and sequentially as the impact of the June 2023 price increase continues to help STARZ top line. Domestic segment profit was up 7.6% year-over-year driven by revenue growth as well as lower content amortization, partially offset by higher distribution and marketing costs and G&A. Similar to Q2, as part of STARZ exit from Latin America, international segment results for the quarter benefited from the accelerated revenue we recognized related to minimum guarantees from our bundling partner in LatAm. Finally, with STARZ U.K. exit expected to be completed in the coming months, STARZ will have a simplified streaming strategy in fiscal year '25 that is focused on growing segment profit and expanding margins in the U.S. and Canada. Now let me discuss our subscriber trends in North America, which will be the market for STARZ in fiscal year '25 and beyond. We ended the quarter with 22.3 million North American subscribers, which represented sequential net additions of $340,000. Focusing specifically on North American OTT subs, STARZ ended the quarter with 13.4 million subscribers, which represents sequential net additions of 700,000 and 10% year-over-year subscriber growth. OTT subscribers now represent 60% of the sub base, and exiting fiscal year '25, we expect OTT revenue to be approaching 70%. Now I'd like to talk about our Studio business. Revenue of $692 million decreased 23% year-over-year, while segment profit of $109 million was down approximately 27%. On a trailing 12-month basis, library revenue of the Studio was $784 million, down 7% compared to the prior year quarter's trailing 12-month library revenue. The year-over-year trailing 12-month library revenue decline was expected as the prior year's licensing of Schitt's Creek rolled out of the trailing 12-month metric in the December quarter. Excluding the impact of Schitt's Creek's relatively low margin revenue from the prior period, trailing 12 months' library revenue was up year-over-year. In addition, library revenue for the quarter grew on a sequential basis. Breaking down the Motion Picture and Television Studio businesses, let's start with Motion Picture. Motion Picture revenue was up 53% year-over-year to $443 million, while segment profit of $100 million was up 31% year-over-year. Revenue and segment profit growth was driven by strength in Hunger Games: The Ballad of Songbirds and Snakes theatrical Performance, library performance of prior Hunger Games titles and the carryover effect of prior quarter performances of John Wick 4 and Saw X. And finally, Television revenue of $248 million and segment profit of $8 million expectedly declined on the difficult comparison given the strike's lingering impact on both the timing of scripted deliveries and revenues in our talent management businesses as well as the comparison to last year's licensing of Schitt's Creek. Now let's talk about our balance sheet. Excluding adjusted OIBDA from previously exited or soon to be exited LIONSGATE+ territories, and including $60 million of projected run rate adjusted OIBDA from E1, trailing 12 months pro forma leverage was 3.7x. This includes a $375 million use of our revolver to close E1 at quarter end. We continue to retain significant liquidity with $283 million of unrestricted cash on hand and $875 million of remaining undrawn revolver at quarter end. Looking forward, I want to remind everyone that we purchased an incremental 25% of 3 Arts for approximately $200 million in cash in January, and we expect to close our equity raise in the spring. Finally, as we prepare for separation and look out to the next fiscal year, implied stand-alone leverage for both Lionsgate Studios and STARZ is trending below 3.5x fiscal year '25 adjusted OIBDA. For the Studio, as previously outlined on the January 4 investor call, including the $350 million of gross proceeds from the Lionsgate Studios transaction, we project the Studio will exit fiscal 2024 with net debt of approximately $1.4 billion. Including stand-alone studio adjusted OIBDA of $370 million in fiscal year '25 and $60 million of annual run rate adjusted OIBDA for E1, this implies fiscal '25 pro forma leverage of 3.3x for the stand-alone Studio. For STARZ, with our previously outlined net debt exiting fiscal '24 of $700 million, this implies fiscal year '25 leverage under 3.5x, assuming STARZ continues to generate in excess of $200 million of adjusted OIBDA in North America. Now I'd like to turn the call over to Nilay for Q&A.
Nilay Shah: Operator, can we open the call up for Q&A?
Operator: [Operator Instructions] Our first question today comes from Barton Crockett from Rosenblatt.
Barton Crockett: I wanted to maybe try and understand a little bit better what you're envisioning when you talk about the Studio separation happening here in a few months and trading out of the ticker LION. Are you anticipating at that point that there'd be a public STARZ? Or is the thought that STARZ might be bought by someone? Or is that unclear for one of this? And part two is, with the Studio, LION, would there still also at that time be a separate kind of back vehicle trading with a stub interest? Or is the thought that those could be consolidated at that point? So yes, if you could clarify that, I'd appreciate it.
Jon Feltheimer: Sure. Michael can answer that.
Michael Burns: Sure. Barton, what I'll say is that assume for a second 13% to 15% is in the public, under the symbol LION, L-I-O-N; and the other 85%, 87% is retained at, call it, RemainCo, which will own 100% of STARZ and 87%, 85% of the Studio. So there'll be 2 public companies until, as we've said before, the end of '24 when we're anticipating the full separation.
Barton Crockett: Okay. And then just switching gears a little bit in terms of the strike impacts on the TV production. It sounds like from your guide, you see this as a pretty short kind of downdraft here that we just saw in the quarter. Is that correct? I mean, do you think that the strike impacts are basically behind us next quarter? Or how quickly before that's kind of in the rearview mirror?
James Barge: Yes. Thanks, Barton. Yes, as noted, what we said on the last call, we pegged what we thought the strike impact was, around $30 million in fiscal '24. So that cycled through this quarter, you see the impact of that, right? It affected episodic deliveries, as we noted, as well as our talent management business. But we're bouncing back strong in our fourth quarter. We have a really good full fiscal year '24 and an even better year in fiscal '25.
Kevin Beggs: Just to build on that, it's Kevin speaking. Yes, we're bouncing back, particularly on the broadcast shows Ghosts, Extended Family, The Rookie, which is part of the E1 transaction. All of those are swinging back into production in an abbreviated season. And as they move into their next season, they'll go to a full cadence of annual production, which will be great. A lot of shows are renewing. Certainly, there have been victims of the strike. We have a full complement of levers to kind of adjust to the new dynamics of the post-strike world. It's a lot about our great IP. When you think about the John Wick universe and The Continental, the E1 acquisition which we talked about, really strong for scripted and providing a nice new platform for our unscripted business, producing at every level; the E1 business in Canada, which we're super excited about; our international productions and the APEX Group; and also just high-end IP premium elements when we think about our 3 Arts relationship, the best production management company in the world; and our new series with Seth Rogen and Evan Goldberg at Apple, the Studio shows, those are the kinds of things that are kind of strike and even a correction environment resistant.
Jon Feltheimer: Yes. How I would characterize it going forward, Barton, is a strong fourth quarter for television, finishing '24 off with a really good year. And moving into '25, we'll be having a great year in television.
Operator: Our next question comes from Steven Cahall from Wells Fargo.
Steven Cahall: So first, on the library revenue, is the number you gave pro forma for any trailing 12-month contribution from E1? Or should we think about E1's library that you're stepping into as additional to that? I'm curious if there's any way to think about your library in terms of splitting it between the motion picture contribution and the television contribution. And then, Jimmy, thanks for confirming a lot of that information pro forma for the spin. Just to ask a couple more around that, does that debt level that you expect to be at for Studio or STARZ include the necessary corporate tax payments? Because I think this is not a tax-free spin. And then the last deck had minority interests of about $175 million, but I'm curious if that's going to be lower now that you've bought in more of 3 Arts.
James Barge: Yes. I'll take the last one first on the minority interest. I think fairly similar, we'll true that minority interest up as we get into the ultimate separation, which will be this spring. With regards to the spin, this transaction is not going to drive any significant cash outlay whatsoever. It will be a tax-free spin with regards to our U.S. shareholders and no real corporate tax impediments there. So it's all in. And in terms of the library trailing 12 months, that's not pro forma. That's the historical trailing 12 months. We rotated out of Schitt's Creek, as I noted, and we've had 2 quarters of sequential increase, and we expect further increases as we layer in E1, but that will be prospective.
Operator: Our next question comes from David Joyce from Seaport Research Partners.
David Joyce: I was wondering if you could update us with the landscape of the TV product sales, like how quickly you're ramping up to capacity. At what point do you think the industry gets to capacity? Are you seeing any new buyer trends given some of the studios and streamers are trying to achieve profitability soon? That would be the first question, please.
Kevin Beggs: Sure. It's Kevin speaking. Just in the larger environment, obviously, right now, they're ordering fewer shows, and there's a lot of focus on the budget levels of those shows and a little more financial discipline compared to the bake-off streaming wars that we saw leading up into the COVID era. But there's still a big demand for shows. They need originals. Originals build subs, build awareness, drive advertising. But the bar is a little higher. They need them to be packaged. They need to be noisy. It really speaks to our strengths of putting together great packages and also delivering on various budget levels; and shooting in tax-friendly states, tax-friendly countries; or other approaches, which we pioneered, whether it's the 10-90 comedy model; or other approaches, block shooting; just different strategies to try to accomplish what everyone needs, which is a premium show at a more reasonable price. And you're seeing some things migrate from one network to another. Showtime has kind of backed off of original programming or at least a new suite of things that are not their internal titles. We had a big title there, it's going to move to another streamer. So selling begins with no, and we've heard it a lot. And we persevere, and we find ways to get to yes.
David Joyce: And on the STARZ side, can you please remind me what your Pay 1 window, the contracts are like in terms of any expirations and how you expect to keep those going forward? I know you did talk, Jon, about the few ways that STARZ is a distributor of choice. But what do you do to retain those relationships going forward?
Jeffrey Hirsch: It's Jeff. Thanks for the question. So we have Pay 1 with Lionsgate. We've got a couple of years left on that. We don't actually go out and talk about the expiration dates. But we have movies partnership with Lionsgate locked up for a long period of time. We're really excited about that partnership. So you can see on the service, all of the movies performed really well in the last 2 quarters, helping to drive the sub growth that you saw in the last 2 quarters. So we're excited about that. We're excited about Hunger Games coming on in the next quarter, 1.5 quarters. We also have a Pay 2 with Universal, and again, that's locked up for a long period of time. So as Jon said in his prepared remarks, movies really helped drive the business on both linear and streaming in a big way. And so we have great titles from 2 big studios and a big Pay 1 with Lionsgate locked up for a long period of time.
Operator: Our next question comes from Alan Gould from Loop Capital.
Alan Gould: First question for Kevin. Kevin, now that you're separating, I was wondering what kind of reaction you're getting in the industry? Is it opening up more opportunities for you to sell programming? And a second question for Jimmy. Once we're post the strike era, how much do you see spending or investment in content? Are we going to go back to the pre-strike era of, say, fiscal '23? And I guess the third question, should we be worried about an IA strike?
Kevin Beggs: It's Kevin. I'll start with the first part. And thank you for the good questions. No, there's really no change. So just to remind everyone, the way that Jon and Michael set up the relationship with STARZ that Jeff and I interact with every day was what I would call an enhanced arm's length arrangement. They are a buyer amongst many, and we are a supplier that I think knows their needs may be more than others based on all our communication. And we've tailored much of our deals and other things to try to make them the first stop. But It's always been an open market and a free market both ways. So there was never a perception that somehow the best product wasn't available to the wider market. So that's not changing. The second thing I would say is that we have a huge amount, a big book of business together. The Powerverse, the BMF universe, Serpent Queen, Hunting Wives, multiple shows. We're all super excited about the sequel of Spartacus. We're going to be in business together for years to come, if not decades, relative to the book of business we have right now. And every day, I'm trying to pitch Jeff something new. He's sick of taking my calls because we always have something else to pitch. So that's not changing.
James Barge: And Alan, with regards to your question about content spend, yes, I would expect that to ramp up. I mean there's some inflation, obviously, over the years. But I look back to like fiscal '22 for a good level. Remember, too, we're onboarding E1 and integrating that in our business, very excited about it. So there will be some content spend to support that great IP as well.
Jon Feltheimer: And on your last question, I'm the CEO of a public company. I worry about everything every day. I do think that nobody really wins in a strike, honestly. And we're hoping that this strike won't happen, the IA strike won't happen, because we've got to keep growing this business and innovating. And everyone deserves a fair shake, and we think everybody who works below the line deserves a fair shake. So I'm crossing my fingers and hopeful that there won't be.
Operator: Our next question comes from Thomas Yeh from Morgan Stanley.
Thomas Yeh: Back on the STARZ business, now that you've digested the first digital price increase and you're seeing a return back to growth, can you maybe just talk a little bit about your philosophy on what you see as maybe the primary revenue growth drivers going forward? Is the volume opportunity still about managing churn? I feel like Jeff has mentioned that in the past. And should we maybe expect rate increases to become a little bit more of a normal course driver of the business as well?
Jeffrey Hirsch: It's Jeff. I think there's really three components that drive the top line of the business. Obviously, one is rate increase. Our strategy and thought has always been, with our two very valuable and profitable core demos, we're always looking to be the complementary service to these broad-based streaming services that are out there, so that we ultimately can be either the cherry on top in terms of the add-on or a bundle. So it's important to keep a price gap of size between the two, so the consumer understands that we are complementary. And so we'll always look at the broad-based set, see what they're doing on price to see if that gives us room to continue to drive price in an opportunistic way. But I think the second piece, obviously, is subscriber growth. As you saw in the last quarter, we had very strong subscriber growth. It was driven by a couple of things. One, obviously, churn mitigation based on the way that we've lined up the content that we've talked about in the past as well as continuing to have big movies going on week-to-week around that. But we also had access to some new distribution platforms that we haven't had before, and we saw significant subscriber growth with access to those the first time and then some holiday promotion. So I think those are the really two key drivers there. And then it's obviously lifetime value extension and really driving churn down and keeping consumers on the platform longer. And on those three things, you saw it added up to great ARPU and acceleration of revenue growth quarter-to-quarter.
Thomas Yeh: Got it. And Jimmy mentioned the goal of expanding margins domestically at STARZ. I wanted to ask a little bit about the cost structure. It looks like it's held pretty steady through the last year, even quarter-to-quarter. I know you took some pain last year when you were aligning your organization towards some of the growth areas of the business, but any way to think about how we should think about when and where we might see some of the opportunities for the leverage to show through? And would the film output deals maybe be an incremental additive cost to the original programming lineup?
Jeffrey Hirsch: It's a great question. So currently, we're coming out the last couple of quarters around mid-teens in terms of margin. We've talked previously about long-term steady-state around 20% margin. And really, as you said, there's a little bit of top line growth there with the rate increases and subscriber growth, but it's also managing cost on the backside. And part of that is really looking at the slate of programming, both the Pay 1, the Pay 2 on originals. There's a lot of other companies that are cutting back. We're actually looking at trying to lessen the tenure of our slate so that we have newer shows put on this service that are at a cheaper cost than we currently have today, working very closely with Kevin around trying to develop more spin-offs around the Power universe that are newer in tenure, which brings the cost of the programming down. And so we're going to be really -- it's a little bit like going into the NFL draft when you're looking to bring in a rookie linebacker on a rookie deal versus having somebody who's a veteran at a minimum that is a good athlete. And so we're working with Kevin to try to turn the slate over so that we can serve the 2 core demos with the components of shows that we know work for those demos but on a much fresher type story and a different kind of cost perspective.
Operator: Our next question comes from Jim Goss from Barrington Research.
James Goss: Just to stay on the STARZ topic for a little bit more. With the increased streaming share and the increased focus on movies, including the types of movies you've talked about and the notion of partnerships, are you looking at a broadened appeal beyond the core demo you focused on in the past several years? And could you talk a little more about the partnerships in terms of how formal they might be? Or are they basically just implied as a complementary option for a larger service? And how are they being promoted?
Jeffrey Hirsch: So I'll start with the second part first and go back to the first part. So if you look within the quarter, Verizon announced a bundle with STARZ in Netflix, it's a formalized partnership. We've seen great incremental lift on subscriber add on that partnership on Verizon. We are in a bundle with MGM+ on Amazon. We are in conversations with multiple different broad-based streamers about bundling as well. And even our linear partners, as Charter and Comcast move to Xumo, which gives them the ability to kind of bundle some more services through a digital platform, we're looking at talking to them about bundling there. And so these are both formalized partnerships that are actually generating great volume and in conversations to come. Because of the uniqueness and the value of our 2 core demos that have been hard to replicate and at our price point, it makes it really a great complementary service. And as you've seen in a lot of the different reports, the more services you put together, everybody's churn comes down. And so I think you're starting to see a big move toward that, in a way, this year or next year that we haven't seen before. So we're excited about that. In terms of your question around movies, we have multiple different distribution platforms, whether it's on the linear side, AVOD-supported services, linear, AVOD, sitting on top of Amazon AVOD. And so we have consumers that go to look at these services that are broader than just our 2 core demos. And so the combination of broader, big title movies, coupled with our 2 core demos on originals, expands our ability to grow TAM, again, to all of our different distribution partners. And so we like the movies that's kind of a third leg to the pole to try to drive incremental TAM outside of the 2 core demos.
James Goss: Okay. One other one, in terms of the reference to maybe a lighter film slate this year in general and ability to gain share, are there any genres you're able to target that you have your eye on? I know you've talked about a couple in some recent calls. And is there some redefinition of what a blockbuster is in terms of the cost and value maybe with change cost notions?
Jeffrey Hirsch: Adam?
Adam Fogelson: It's Adam. Thanks for the question. In terms of genres, the truth is, if you look over the last 5, 6 months, a bunch of films that fit into a variety of categories, in the low and mid-budget space, have performed exceptionally well, in fact, probably better than we've seen in the last 4 or 5 years. From our own Saw film to Five Nights at Freddy's, horror continues to be terrific. Anyone but You in the romantic comedy space, which is a genre that people were concerned about, performed extremely well. Beekeeper is doing spectacular business in January. Mean Girls is doing spectacular business in January. So I think that all of the genres that Lionsgate has historically performed in are not only doing well but probably better than they have in many, many years. With respect to blockbusters, I think it's less for us about what the specific cost of the movie is and more about what the profitability of a movie can be. And we made both John Wick and Hunger Games at prices that are considerably less than what the industry sort of standard definition of a blockbuster might be. We marketed them for considerably less than what the industry standard would be. And ultimately, the return and the profitability on those films, that, for us, is a blockbuster all day long. And we have a lot of great opportunities going forward with the John Wick franchise, with the Saw franchise, we believe with the Hunger Games franchise and with a bunch of new IP that Joe and everybody here have developed over the last few years and are now lined up to start creating real value for the company.
James Goss: Okay. Maybe one follow-up to that and I'll really go. You mentioned that the Hunger Games prequel drove library sale. I assume that's somewhat a unique situation or maybe it's not. And I wonder if you might give any quantification of that or also talk about whether there are any intellectual property plans you might have for that intellectual property either on film or TV.
Jon Feltheimer: I have Jim Packer, our Head of Worldwide Distribution, answer that.
Jim Packer: So yes, we see drafting opportunities whenever these big franchises come out. The transactional team under Ron Schwartz has done a great job. I think we were up 8x versus the previous quarter and almost 17x the year-ago quarter. So we see very big drafting on the transactional side. You may have seen the movies on a number of different SVOD platforms. A lot of that was driven by the interest in the new movie. So we take advantage of that. We make sure that we maximize it, and it's good for the whole ecosystem of the brand.
Operator: [Operator Instructions] And everyone, at this time, it's showing no additional questions, I'd like to turn the floor back over to management for any closing remarks.
Nilay Shah: Thanks, everyone. Please refer to the Press Releases and Events tab under the Investor Relations section of the company's website for a discussion of certain non-GAAP forward-looking measures discussed on this call today. Thank you. Have a good evening.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.